Operator: Welcome to the Flushing Financial Corporation's 2017 third quarter earnings conference call. Hosting the call today are John Buran, President and Chief Executive Officer, and Susan Cullen, Senior Executive Vice President, Treasurer and Chief Financial Officer. Today's call is being recorded. A copy of the third quarter earnings release and slide presentation that the company will be referencing today are available on its Investor Relations website at www.flushingbank.com. Before beginning, the company would like to remind you that discussions during the call contain forward-looking statements made under the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties and other factors that may cause actual results to differ materially from those contained in any such statements. Such factors are included in our filings with the US Securities and Exchange Commission. Flushing Financial Corporation does not undertake any obligation to update any forward-looking statements except as required under applicable law. During this call, references to several non-GAAP financial measures, as supplemental measures to review and assess operating performance, will be made. These non-GAAP financial measures are not intended to be considered in isolation or as a substitute for the financial information prepared and presented in accordance with US GAAP. For any information about these non-GAAP measures and reconciliation to GAAP measures, please refer to the earnings release. I'd now like to introduce John Buran, President and Chief Executive Officer, who will provide an overview of the strategy and results.
John Buran: Thank you. Good morning, everyone. And welcome to our third quarter earnings call. As part of our continuing effort to increase financial transparency and investor engagement, we hope to provide you with additional insight into our business strategy, sustainable competitive advantage and earnings power. I'll start by providing the highlights of the third quarter, followed by a brief overview of the strategies that we're employing to create long-term shareholder value. Then Susan Cullen, our CFO, will review our financial performance in greater detail. Susan and I will address your questions at the end of our prepared remarks as time permits. Starting on slide three, as announced in yesterday's press release, third quarter 2017 GAAP diluted EPS was $0.35 and core diluted EPS was $0.37. During the third quarter, we recorded a provision for loan losses for the first time since the fourth quarter of 2015 of $3.3 million, reducing EPS by $0.07 after-tax. The provision was a result of the reduction in the estimated fair value of the collateral underlying our $18 million taxi medallion portfolio. This portfolio is performing, except for 1 taxi medallion loan that has passed its maturity date. All loans in this portfolio are paying as agreed. The majority of the taxi medallion loans have been restructured and are classified as TDRs, for which we have extended maturity dates and/or reduced rates. We have not forgiven any principal when restructuring. After including the allocated allowance for loan losses to the taxi medallion portfolio, the net carrying value of each New York City corporate taxi medallion is $304,000. Importantly, overall asset quality remains pristine. Total delinquent loans are $31 million. Non-accrual loans total $12 million. And we have no OREO properties. Given the low LTV associated with the non-performing loans of just 35%, we do not foresee an increase in related expenses. For many months following the recent Fed rate increases, we were able to keep our cost of municipal deposits considerably below market rates. However, due to competitive pressures, we were compelled to increase these rates to match competition by a weighted average of 33 basis points. We recognized the full impact of the increase in this quarter as cost of funds increased 10 basis points versus the second quarter of 2017. For the fourth quarter of 2017, we expect seasonal municipal inflows of approximately $200 million, which have a lower cost than the borrowings they will replace. We are reaping the benefits of our strategy of focusing our origination efforts on higher yielding loans. This effort provided a 21-basis point quarter-over-quarter improvement in the yield received on new loan origination purchases in third quarter 2017 to 4.25%. This is 51 basis points higher than the third quarter 2016 yield. This yield is also 16 basis points greater than the quarterly average yield of our total loan portfolio, net of prepayment penalty and recovered interest from delinquent loans. The yield growth in the loan portfolio of 8 basis points was not able to offset the increase in deposit costs. As a result, the net interest margin declined 5 basis points quarter-over-quarter. The growth in loan yields augmented by solid loan growth is one we will work to continue in future quarters. Our total loan portfolio grew 5% during the nine months ended September 30, 2017, while holding on to strong underwriting standards. Loan balances were impacted by the sale of $33 million of loans during the quarter. The pipeline of $417 million keeps us on target to achieve annual loan growth in the high-single digit, low-double digit range. Our loan-to-deposit ratio improved for the quarter to 114% from 118% at June 30, 2017. The decrease is due to growth in branch-based money market balances and of our Internet-based, ecofriendly, healthier lifestyle, community brand BankPurely, whose balance exceed $80 million at quarter-end. Our loan-to-deposit ratio should further improve during the fourth quarter as we increase business development efforts in the lucrative Flushing market, consistent with the relocation and modernization of two branches. We are improving scalability and efficiency in this market by converting our branches to the universal banker model, which provides our customers with cutting-edge technology, including state-of-the-art ATMs and a higher-quality service experience. We remain on track to complete all branch conversions by the end of 2019 and continue to anticipate seeing savings of 20% in real estate and staff expenses as the universal banker branches are more efficient. As you may recall, we have been piloting Video Banker, which gives customers access to a live person from 7 am to 11 pm, seven days a week at our enhanced ATM terminals. As this enhancement has been positively received by our customers, we plan to roll out this feature to all our branches in the coming year. These efforts, among others, contributed to controlling expenses, resulting in an efficiency ratio of 56.5% in third quarter 2017. As a reminder, our long-term goal is to maintain an efficiency ratio in the low to mid-50s. For those new to our story, slide four provides a summary of our key focus areas, which remain consistent. Exceeding customer expectations, enhancing earnings power, strengthening our commercial bank balance sheet, and maintaining our strong risk management philosophy. Our vision remains to be the preeminent community bank in our multi-cultural market. We create value and attract new customers by delivering a consistent and superior experience through quality service and personalized attention. Our competitive advantages include having a branch staff that speaks more than 30 languages to serve our customers in the New York City metro area, one of the most ethnically diverse regions in the country. In addition, we have a strong focus on the Asian community where we have more than $500 million in deposits. These deposits have a lower cost of funds than our total cost of funds at 89 basis points. The Asian market surrounding the Flushing branches have very attractive business dynamics. First, there's a high degree of savings, available deposits and a significant number of small business owners. We have undertaken an initiative to capitalize on this business environment with the opening of two remodeled and modernized universal banker branches. We remain a preeminent commercial real estate lender, focused on the origination of multifamily mortgages, commercial business and commercial real estate loans, while continuing to be nimble and responsive to industry shifts. Combining our customer focus and competitive strength as a relationship-oriented lender has enabled us to transform formerly transactional-based customers into deeper, long-term financial relationships. We continue to focus on conservative underwriting and improving yields to achieve desired risk-adjusted returns. Our risk management philosophy remains constant and has proven to serve us well throughout all phases of the credit cycle. The LTV on current quarter originations of multifamily commercial real estate and 1 to 4 family mixed use loans was 41%, with a debt coverage ratio of 187%. Our conservative underwriting standards, loan loss reserves, minimal delinquencies and low LTVs give us confidence that net charge-offs will remain below industry averages. Our strong balance sheet; liquidity; capital levels; ability to grow core deposits; investments in talent, innovation, technology and cybersecurity; as well as our risk management philosophy all position the company very well to deliver profitable growth and long-term value to our shareholders as we continue to execute on our strategic objectives, which are on slide five. Increase core deposits and continue to improve funding mix, increase net interest income by leveraging loan pricing opportunities, enhance core earnings power by improving scalability and efficiency, manage credit risk and remain well capitalized under all stress test scenarios. We'll continue to focus on these strategic objectives to achieve profitable growth and maximize shareholder value. Importantly, our strong capital ratios remain well in excess of regulatory requirements for both the company and the bank. We have authorization from the board to purchase an additional 486,000 shares, which has no expiration or maximum dollar amount. There were no purchases in third quarter 2017. We also maintained our quarterly dividend of $0.18. As you may already know, we have consistently raised our dividend in the first quarter of each year since 2014 and have paid a dividend every year since September 1996. At this point, I'll turn the call over to Susan to discuss the quarter's financial results in greater detail.
Susan Cullen: Thank you, John. I'll start on slide six. Total loans were $5 billion, nearly flat quarter-over-quarter, and up 5% from December 31, 2016 as we continue to focus on the origination of multifamily commercial real estate and commercial business loans with a full banking relationship. We continue to diversify our loan portfolio as C&I originations for the quarter were 38% of total originations versus the existing portfolio total of 14% of gross loans. At September 30, our loan pipeline was strong and totaled $417 million, improving from a pipeline of $279 million at the end of the second quarter of 2017. The interest rate on the real estate loans of pipeline decreased to 4.04% from an average rate of 4.17% for the linked quarter as the mix was more heavily weighted towards multifamily loans. The LTV ratio on our real estate portfolio at quarter-end was a modest 39%. On slide 7, deposits increased 10% year-over-year and 4% quarter-over-quarter, primarily driven by growth in the non-interest bearing and money market accounts. We continued to increase core deposits, as represented by the year-over-year growth, with an emphasis on non-interest-bearing accounts, which increased 13% year-over-year. Non-interest-bearing deposits of $363 million represent 8% of total deposits. Since the third quarter of 2016, deposits increased $398 million. Our internal initiative of using business development officers to gather deposits from loan customers has resulted in balances totaling $23 million. Funding is also gathered through the iGObanking.com channel. At September 30, its deposits totaled $368 million, while the BankPurely balances were over $80 million. We are beginning to see rate pressure on the municipal banking funding, while the pricing on retail deposits remain disciplined. The average cost of funds has increased 10 basis points during the quarter. We continue to remain disciplined in terms of deposit pricing, while remaining competitive within our market. Slide eight depicts the composition of the funding mix. The loan-to-deposit ratio has improved to 114% at September 30 compared to 118% at June 30. As funding has continued to grow, the percentage related to CDs and borrowings has decreased. However, when the need arises to access the wholesale funding markets, there are advantages as we can ladder out liabilities for longer terms when the consumer does not want to tie up their money for much longer than 18 months in the current environment. Turning to slide nine, net interest income for the third quarter of 2017 was $43 million, up 3% year-over-year, but down 1% quarter-over-quarter. The net interest margin at 290 basis points decreased 4 basis points year-over-year and and 5 basis points quarter-over-quarter. Excluding prepayment penalty income, core net interest margin for linked quarter declined 6 basis points to 277 basis points. Our overall cost of funds for the quarter was 1.15%, an increase of 13 basis points year-over-year and 10 basis points quarter-over-quarter, driven by an increase in rates paid on municipal deposits and short-term borrowings. While net interest margin will likely remain pressured, we will continue to focus on increasing net interest income by leveraging loan pricing opportunities in the portfolio mix. For the first time since the fourth quarter of 2008, the yield on quarterly loan originations exceeded the quarterly yield on the loan portfolio. On slide ten, we reported non-interest income for the third quarter of 2017 of $1.7 million, but core non-interest income was $2.9 million. Excluding the effects of the net gain/losses from the fair value adjustments, the gains and losses on the sale of securities and the gains from the life insurance proceeds, core net interest income increased 11% year-over-year, despite a 6% decline quarter-over-quarter. The year-over-year increase was driven largely by growth in the Federal Home Loan Bank of New York stock dividends, the bank-owned life insurance and gain on sale of loans. Moving to slide 11, non-interest expense for the third quarter of 2017 was $26 million, slightly improving quarter-over-quarter and year-over-year, resulting from continued improvement in credit quality and expense control. Excluding the write-down of OREO in the third quarter of 2016, non-interest expense was up $0.5 million or 2% year-over-year, driven by increased salaries and benefits from additions in staffing and investments in our technology, partially offset by reductions in FDIC insurance expense and foreclosure expense. The lower expenses associated with the FDIC insurance and foreclosure expenses should be sustainable. Overall, the efficiency ratio was 56.5% for the third quarter of 2017 compared to 57.4% in the third quarter of 2016 and 55.8% in the second quarter of 2017. As John previously mentioned, our long-term goal is to maintain an efficiency ratio in the low to mid-50s. We continue to evaluate new opportunities in our operations for efficiency gains. Regarding taxes, we anticipate the effective tax rate to approximate the third quarter of 2017 rate of 34% for the remainder of the year. Now, turning to credit quality on slide 12, our credit metrics remain pristine this quarter. importantly, we continue to record charge-offs early in the delinquency process. As a reminder, we are a historical seller of non-performing credits. The average LTV of our non-performing real estate loans is 35% based upon the value of the underlying collateral at origination and we do not adjust the appraised values for increases for the New York City metro area. The LTV should be conservative based upon the methodology we use. Non-performing loans decreased $14 million, down 41% year-over-year and 10% quarter-over-quarter. Net charge-offs for the third quarter of 2017 remain a minimal $154,000 or less than 1 basis point of average loans. As John highlighted, we recorded a provision for loan losses of $3.3 million, as estimated fair value of the New York City taxi medallions were lowered based on most recent sale data. The taxi medallion portfolio totaled $18 million or 36 basis points of total loans and is comprised primarily of New York City corporate medallions, which are carried at $304,000 net of allocated allowance for loan loss. We have allocated $6 million of the allowance for taxi medallion loans, which equates to 33% of the outstanding balance. Slide 13 highlights the effects of our strong underwriting discipline with our history of minimal 90-day delinquencies as a percentage of loans originated by year. As you can see, there is only one loan delinquent greater than 90 days for vintage years after 2009, which is an impressive run for over seven years. Moving to slide 14, our coverage ratio is at 182% and has been increasing due to improving credit quality and the reserve we built for the taxi medallion loans. The allowance for gross loans is 50 basis points increasing from 44 basis points in the prior quarter. With expected loan growth, we anticipate recording provision for loan losses proportionate with that growth in future quarters to maintain an adequate ratio. As always, we continue to monitor our credit quality closely to ensure that we have an appropriate loan loss reserve. With that, I'll turn it back to John for some additional comments.
John Buran: Thank you, Susan. Wrapping up, slide 15 provides a summary of why we believe we remain well positioned for continued strategic and profitable growth. To reiterate, our vision is to be the preeminent community financial services company in our multicultural market by exceeding customer expectations and leveraging our strong banking relationships. The New York City market continues to represent a significant opportunity for us. We remain focused on providing a consistent and superior experience at every touch point for our customers and maximizing shareholder value. Those of you that have held our stock for over the past five years know our total shareholder return has been 118%, outperforming the market and the median of our banking peers. In conclusion, we have a strong foundation and proven track record, a clear strategy and a seasoned leadership team to execute our strategy, with a commitment to drive continued profitable growth. We will now take questions as time permits. Operator, I'll turn it over to you.
Operator: [Operator Instructions] The first question is from Mark Fitzgibbon of Sandler O'Neill. Please go ahead.
Mark Fitzgibbon: Good morning.
John Buran: Good morning, Mark.
Susan Cullen: Good morning.
Mark Fitzgibbon: Susan, you had mentioned you expect some NIM pressure in coming quarters. Can you help us sort of get a sense for the magnitude of that compression?
Susan Cullen: As we said in the earnings release and in our comments, we had to raise the rates on the government deposits to remain competitive with the market. We would expect there to be continued pressure on those government deposit rates, which would, obviously, affect our NIM.
Mark Fitzgibbon: Okay. And then how big is that government deposit portfolio? And was it one or two relationships that really caused the pressure or is it pervasive across the portfolio?
John Buran: We have several different categories of the government deposits. And the category where we had the most beneficial rate for us was the one that was secured by securities, collateralized by securities. That was the one where we had the most pressure to increase rates. Some of the other categories, we're able to increase far less or even not at all. So, now that we brought that particular category up, we are kind of at – we're at market. And as Susan said, we may see additional pressures there on the deposit side. So, we're talking about a total billion-dollar portfolio. The piece that we move the most was somewhere around $200 million to $300 million. In addition, obviously, on the asset side of the balance sheet, we are continuing to post loans that have a four-handle on them. So, to the degree we can continue to do that, that will offset some of the pressures that we'll see either from government or any other retail deposits.
Mark Fitzgibbon: Okay. And then, John, I know the portfolio is small, the taxi medallion portfolio, and you've got good reserves against it. But it almost begs the question, would it make sense to sell it, just get rid of it, given the noise related to that? What are your thoughts? Are there buyers out there for those kinds of portfolios?
John Buran: Well, we did see the one buyer over at Citibank that was pretty much a fire sale at $189,000 per medallion. Our portfolio is very different than the typical large-scale investor portfolio. They are individual medallion owners. Two medallions – I think the maximum is four medallions that any one individual has. So, they tend to be people who are actually using this for their livelihood. As a result, we're seeing good payment history. All of those loans are paying as agreed. The one loan that we have that is past maturity, we expect to come to some agreement with that particular borrower as we have in the past. And I'll emphasize again, we have had to take no reductions in principal. So, small portfolio, the individuals, it's a diversified portfolio in terms of ownership, and paying as agreed at this point in time. So, I don't see any reason to jump ahead to go out in some sort of a fire sale.
Mark Fitzgibbon: Okay. And then, lastly, on your C&I, you've had pretty good growth in that C&I portfolio here for the last several quarters. Is there any particular industry that's driving that? Do you guys have a specialization in anything that's really causing the growth?
John Buran: No. It's a very well diversified portfolio. And we like to keep it that way.
Mark Fitzgibbon: Thank you.
Susan Cullen: You're welcome.
John Buran: Thanks, Mark.
Operator: The next question comes from Steven Comery of Gabelli. Please go ahead.
Steven Comery: Hey, guys. Thanks for taking my question. You guys had a nice build in the pipeline in this quarter. But as you mentioned, the mortgage application yields came in at 4.04% versus 4.17% in the previous quarter. And then, Susan, you mentioned that was because of mix toward multifamily. But I was just wondering, things like C&I loans tend to come in at a higher rate, is the overall pipeline yield more in line with this quarter or is that lower as well?
John Buran: This quarter has a significant number of high large multifamily. So, when you look at the mix of our portfolio, you have commercial real estate, which tends to be higher than the baseline large multifamily. Then you have small multifamily, which has a premium to large multifamily. And then the C&I portfolio, to the degree that it could be a prime or prime plus not only gives us a four-handle, but also gives us the ability to have a floating rate asset. So, the changes in that mix at any given quarter could either give us a wider or a more narrow yield versus our funding cost. That said, we've been very focused on maintaining the loans with a four-handle in total.
Susan Cullen: And, Steve, many of the C&I loans price a couple days prior to closing. So, we don't really have a good portfolio or pipeline rate on those loans. We only have it for at that point in time. The market may move prior to those closing.
Steven Comery: Oh, okay. So, that's why you broke out the guidance like that with mortgage.
Susan Cullen: Yes.
Steven Comery: Okay. And then, kind of – I don't want to belabor this, but back on medallion portfolio, so $6 million total allocation so far in a $18 million portfolio, that seems pretty conservative, given kind of your comments on how they are all still performing. Did you guys mark this book to the fire sale number of $189,000 you mentioned? Is that the process that went through here?
Susan Cullen: No. We continue to market them based on the more normalized sales in the marketplace during the quarter, coupled with our net NOI analysis that support the net $304,000 value. We looked at that fire sale and discounted it.
Steven Comery: And then, just kind of also on this, just kind of wondering, can you give us a sense of like how these loans are going to come off the book sort of naturally, like how they're paying down, what the maturities are, anything like that?
Susan Cullen: They are amortizing loans, basically three years with the resets – we will renegotiate them. They're just going to come off the books, I think, very slowly. We'll have to work through the process.
Steven Comery: Okay, thanks. I don't have any other quick questions.
Susan Cullen: Thank you.
Operator: The next question is from Collyn Gilbert of KBW. Please go ahead.
Collyn Gilbert: Thanks. Good morning.
Susan Cullen: Good morning.
Collyn Gilbert: Just a question for Susan, or just whomever, on the deposit side. You guys gave good color as to where you expect the deposit pricing to go in the near term, in part because of the muni relationships. But as you look out end of the year/next year, where do you see the sensitivity of some of those – of your deposit products' pricing, assuming we get a couple rate hikes?
John Buran: I think – again, the retail side has been fairly disciplined at this point in time. The market has been fairly disciplined. As you know, it's dominated by larger banks. There are – really, there's limited aggressive pricing coming out of those larger institutions. So, the degree to which they hold fast, I think, will allow for a gradual increase in deposit cost. Our plan there is to be able to continuously focus on the loan side to increase the yields there. Hopefully, we'll be able to match to some degree the movement on the liability side. but I think it's going to be driven by the larger institutions. They have not made any dramatic moves at this point in time. So, that's pretty much the outlook for us.
Collyn Gilbert: Okay. And just on the – kind of follow up to that, I guess, do you have a sense – it's probably hard to tell, but for the deposits where you've got the business customers or the muni deposits that are asking now for a kind of catch up on the rate, do you think they're going to – do you anticipate those deposit rates to continue to move higher? I hear what you're saying on the retail side and what the competitive market looks like, but I'm just thinking about your core customers' demands if you kind of are anticipating that they're going to want to keep raising or demanding higher rates as we look out over the next few quarters?
John Buran: So, the Fed has moved up – I don't know – probably 75 basis points or so…
Susan Cullen: This year.
John Buran: This year. And we've had to move up 33 basis points. And that 33-basis-point-move actually is the first move that we've made in a number of years. So, it looks to me like there is a very slow reaction in the market to the Fed moves. And as long as that holds true for us, I think it'll work out just fine.
Collyn Gilbert: Okay.
Susan Cullen: As we're sitting here today, Collyn, the government-type deposits are still lower costing than any borrowings we can get through the Federal Home Loan Bank.
Collyn Gilbert: That was going to be my next question. Okay. Okay, all right. And then, just one final question. Susan, what did you – did cost savings – or maybe, John, you said it in your opening comments. The cost saves that you guys are anticipating from converting to that universal bank model, can you just run through what you said there and how we should be thinking about that? And I know you said 2019.
John Buran: We're seeing cost saves of about 20% based upon real estate and branch staff. So, as we roll through these branches, we expect to see a reduction in cost square footage declines dramatically. Obviously, therefore, rent. And the fact that we've eliminated the teller position has reduced the staff very significantly.
Collyn Gilbert: Okay. And will those – I know you wanted all the conversions to be done in 2019, but just trying to think about the financial implications for how that rolls through, how we should think about these savings. Is that going to be then more of a fully – a run rate not coming until 2020 or will you start to see some of those cost saves in 2019?
John Buran: We're seeing some of those cost saves right through these years. So, our move in the Flushing market, that will take place this year. We'll have a benefit going forward. We won't see the full impact until the end of 2019, obviously, because all of the branches will be done at that time.
Collyn Gilbert: And is this all factored into your goal of maintaining the efficiency ratio in the low to mid-50s? That assumes some of these savings through the…
John Buran: Yes.
Collyn Gilbert: Okay. Okay. Very good. I'll leave it there. Thank you.
Susan Cullen: Thank you.
John Buran: Thanks, Collyn.
Operator: The next question is from Matthew Breese of Piper Jaffray. Please go ahead.
Matthew Breese: Good morning, everybody.
Susan Cullen: Good morning.
John Buran: Good morning, Matt.
Matthew Breese: Just staying on the margin discussion, specifically the deposit cost. Given your commentary around the margin facing a little bit more pressure next quarter, in particular, is it in regards to higher deposit cost? I just wanted to get a sense for, should we expect a similar kind of move in the overall cost of funds or to what extent should we see that move at least in the near term, I guess is the real question?
John Buran: We're not anticipating that significant a move. However, I think we're, obviously, very focused on what the competitive environment is like. And as I mentioned earlier, most of it has been fairly disciplined, anchored by the movement of the larger institutions or lack of movement in the larger institutions. So, if that changes, obviously, it's going to put us under more pressure. If it tends to be the same, we don't see a one-for-one increase of Fed moves and deposit costs on our part because that historically has not been the case.
Matthew Breese: Okay. And if you had to frame the extent of margin pressure, Susan, I think last quarter you were looking for flat to down maybe 2 basis points. Is it still in that kind of 1 to 2 basis point range or something worse?
Susan Cullen: Well, it's hard to give you guidance on that because of the competitive pressures we may or may not face on the municipal deposits. Net of that, I would say still remaining down a couple basis points, is the right answer.
John Buran: I think you just got to look at what historically our margin has been in the last year or so. And I think we had a – what was it? – a 2.94% margin same quarter last year. We're 2.90% now. So, there are a variety of factors going into it, not the least of which, of course, are the deposit costs. But I think in really assessing the margin, you also have to look at the loan yields, the run off of the loans, which is about 25% and the fact that we have significant prepayment penalties attached to the loans as well, which regenerate every five years. So, we go from 5, 4, 3, 2, 1 to 5, 4, 3, 2, 1 again and on until the maturity of the loans. That gives us some pricing power when it comes time for customers to renegotiate those loans. So, I think the deposits clearly outstrip the loan gain in this quarter, but that has not been the case in every quarter in the last several quarters.
Matthew Breese: Right, understood. Okay. And then, I just wanted to make sure I heard right. Outlook for longer-term loan growth is still – is it high-single digits, double digits? Is that accurate?
John Buran: I think we still have a shot at the low-double digits and we clearly are on track to do high-single digits.
Matthew Breese: Okay. And I was hoping you could just talk a little bit about the competitive environment for loans in New York City, given transaction volumes have fallen so dramatically. A lot of your competitors have talked about that being just a pretty sizeable headwind. Yet, you're putting up pretty good loan growth still. And I just wanted to kind of compare those two items and see what you thought.
John Buran: I'm sorry. What was the feedback that you were getting?
Matthew Breese: Transaction volumes, especially in multifamily. In New York City, you are down quite a bit year-over-year.
John Buran: It's competitive clearly. Fortunately, we're in a position where we're not 100% dependent upon multifamily. And when you see different mix levels, commercial real estate, multifamily and, clearly, C&I which has been strong last few quarters, we have the ability to change our mix. We've got mixed use loans that we do as well. We have the ability to change our mix, which gives us a little bit more resiliency from some of those comments that you've been hearing elsewhere.
Matthew Breese: Understood, okay. That's all I had. Thank you.
John Buran: Great, thank you.
Operator: There are no more questions in the queue. This concludes our question and answer session. I would like to turn the conference back over to John Buran for closing remarks.
John Buran: So, I thank you all very much for attending the conference and look forward to the coming quarters to keep you informed as to what's going on with our business and the progress that we make against our strategic plan. Thank you very much.
A - Susan Cullen: Thank you.
Operator: This concludes today's teleconference. You may now disconnect your lines and we thank you for your participation.